Operator: Good day, ladies and gentlemen. And welcome to the Ferroglobe’s Second Quarter of Calendar Year 2017 Conference Call. At this time, all participants are in a listen-only-mode. Later, we will conduct a question-and-answer session and instructions will follow at that time [Operator Instructions]. I would now like to turn the call over to Joe Ragan, Chief Financial Officer. Please go ahead.
Joe Ragan: Good morning. And thank you for joining the Ferroglobe second quarter of calendar year 2017 conference call. I’m going to read a brief statement and then hand the call over to Pedro Larrea. Statements made by management during this conference call that are forward-looking statements are based on current expectations. Risk factors that could cause actual results to differ materially from these forward-looking statements can be found in Ferroglobe’s most recent SEC filings and the exhibits to those filings, which are available on our webpage, www.ferroglobe.com. In addition, this discussion includes EBITDA and adjusted EBITDA, and adjusted diluted earnings per share, which are non-IFRS measures. Reconciliations of these non-IFRS measures may be found in our most recent SEC filings. Now, I will turn the call over to Pedro Larrea, our CEO.
Pedro Larrea: Good morning, everyone. And thank you for joining us on the call today. Before we go into the details of the quarter, let me provide some context into the current environment and our strategy as we move through 2017. On slide four, you can see Ferroglobe delivered a strong quarter with results that exceeded expectations; we posted a quarterly net profit, albeit a modest one, for the first time since our merger; and delivered a significant increase in both our earnings and EBITDA margin performance; we delivered an 8% increase in revenues, 42% increase in adjusted EBITDA; and our adjusted EBITDA margin improved to 250 basis points at 10.3% for the second quarter compared to 7.8% for the first quarter of 2017. Our strong performance is driven both by significant improvements in the external environment, as well as actions taken by Ferroglobe during the past period. In the external environment, and mainly for silicon metal, we witnessed a significantly reduced inflow of low price imports, as we are starting to see the impact of the ongoing trade cases. In silicon-based and manganese-based alloys, we continued to see a strengthening of demand across end markets, and improved supply demand balance in the different geographies. Combined, these trends have resulted in a sustained price recovery and continued stabilization of shipments and volumes; although, with different pace and timing depending on products and geographies. At the same time, actions taken this quarter and in prior quarters, I’m sure, we were able to fully capture the benefits of these trends; our commercial strategy then to enhance our profitability. In addition to general price recovery, we continued to focus on delivering contracts above spot and index prices. This strategy has been performing well for us, and together with the market recovery, has allowed for the weighted average of our realized prices in the second quarter of 2017 to be up 6.8% compared to the first quarter from $0.74 per pound in the first quarter to $0.79 per pound in the second quarter. The average selling price for silicon metal was up 6.3%; similarly, the average selling price for silicon-based alloys increased 7.7% from the first quarter of 2017; while, manganese-based alloys prices remained largely flat at historically high levels. I would be analyzing the details of this price evolution product-by-product in a few minutes. We maintained our financial discipline, including carefully managing our cost structure. This, combined with our focus on diversification across key products, has allowed us to fully capture the benefits of improved environment and maximize our exposure to improving prices across the board with a more balanced business mix. As a result, we are now optimizing our production facilities and running close to full capacity utilization. In North America, the Niagara Falls and West Virginia alloys plant returned to full operation in Q2. The Selma facility in Alabama has restarted in the month of August with one of its two furnaces running. Although, we do not expect the significant impact on our financial results, while it remains in partial operation. The remainder of our plants across Europe and North America are running at full speed. The only exceptions are Argentina with around 50% utilization and South Africa, around 65% utilization; where these lower utilization, rates are due primarily to unfavorable local conditions. In addition, we have halted operations at our plant in Venezuela since May, as we await further development in the country. Next slide please. Before I continue my discussion of the quarter, I would like to take a few minutes to share a brief update on corporate matters. First, as discussed in past quarters, we filed the petition earlier this year with the U.S. Department of Commerce and the U.S. International Trade Commission, as well as a separate complaint with the Canada Border Services Agency, seeking relief from unfairly traded low-priced imports in North America. In both cases, their respective government agencies have decided to move forward with their investigations, leading to favorable first milestones. Regarding the ongoing trade cases, Ferroglobe filed in the U.S., the Department of Commerce issued preliminary determinations on August 7th, and posting countervailing duties on silicon metal imports from Australia, Brazil and Kazakhstan. The duties imposed range from 3.69% to 120%, with more than 54% of silicon metal imports into the U.S. being now subject to cash deposit requirements. The Company has also filed antidumping cases against imports from Australia, Brazil, and Norway, which address unfairly low import pricing. The Department of Commerce is expected to make preliminary determinations in the antidumping cases on October 4, 2017, which may result in the imposition of additional duties. We are confident that these affirmative preliminary determinations issued on August 7th will be the first step in ensuring a more competitive and fair silicon metal market in the U.S., and we look forward to receiving a favorable outcome in the ongoing antidumping investigations. Final determinations, for both the countervailing duty and antidumping investigations, are expected by the first quarter of 2018. Regarding the ongoing trade case filed in Canada, the CBSA issued its preliminary determinations on July 5th. The agency found dumping and/or subsidy margins for Brazil, Kazakhstan, Laos, Malaysia, Norway and Thailand. It terminated its investigation against Russia on the basis of insufficient import volumes. The final determination of the agency’s investigations is expected to be issued on October 3, 2017. The Canadian International Trade Tribunal hearing is expected to take place on October 2nd with a final finding expected to be issued on November 2, 2017. Second, as announced on July 26th, the Company did not receive the required regulatory approvals to complete the divestiture of the hydroelectric operations in Spain. While we intend to continue to explore all options, including alternative divestitures structures, we want to reiterate that this is not a material issue for our business or financial performance, and that we continue to be convinced of the intrinsic value of these assets, which will be realized in one way or another. We have turned the page and are now focused on continuing to drive performance across our entire business, including the energy assets themselves. Lastly, the Company has entered into a $250 million accounts receivable securitization to finance receivables generated in the U.S., Canada, France and Spain, completed on July 31st. This arrangement provide several benefits, including risk mitigation, liquidity maximization and the ability to replace multiple factoring arrangements with one consolidated centrally-managed program. Next slide. As I referenced earlier, we are continuing to benefit from our diversified product portfolio. Our three main product families are now providing almost equal contribution to EBITDA, which allows us to maximize our exposure to improve prices and ensure a more balanced on diversified business mix. In terms of revenue contribution, our contribution of different products is diversified with silicon metal still the largest contributor at 43% followed by silicon-based alloys at 26% and manganese-based alloys at 20%; other products, including energy, make-up the remaining 11%. Further, these diversified products serve an even more diverse group of end markets with silicon metal used for aluminum, silicones and solar products, while manganese-based alloys are used for steel and silicon-based alloys for different grades of steel and foundry. These three product areas have contributed differently to our revenue growth over the first quarter with manganese-based alloys growing 2% and silicon-based alloys 1% over the prior quarter. These product continues to experience healthy demand momentum, and we have taken advantage of selecting specific products and market instances in which the supply-demand balance look favorable, while running our facilities at full capacity. Silicon metal has contributed the most to the revenue growth in Q2 with a significant increase of 16% compared to Q1. This healthy evolution reflects the strong demand environment under success of the commercial strategy implemented for 2017. Next slide. Turning to discuss the sequential contribution to sales growth in the second quarter of 2017; sales were $425.8 million, up 8% from the previous quarter; selling prices for Ferroglobe’s key products continued to improve over the course of the quarter across both the U.S. and Europe; silicon metal prices and volume were key drivers in the quarter, reflecting the positive momentum in the market and the good execution of a well planned marketing strategy. In the case of silicon-based alloys, prices have remained strong but volumes have taken a seasonal dip. Manganese-based alloys have shown a resilient price performance, despite being at historically high levels and despite the overall reduction in manganese lower prices. Next slide. On the next three slides, we will discuss pricing and volume trends, earnings contribution and market observations for each of our three key products. Turning first to silicon metal; as you can see on the chart, market prices have continuously trended upward over the past several months and the market continues to move in this direction; consistent with this trend, our average selling price increased by 6.3% from the first quarter at $1 per pound for the second quarter; we have seen significant improvement in silicon metal due to higher realized prices and increased volumes from new orders, especially in North America, as a result of decreased low price import volumes, deterred by the trade case investigations. Prices continued to increase in North America during Q2, ahead of the preliminary determinations in the trade cases with brokers and traders backing away from new business. European prices have remained basically flat during Q2, gaining certain positive momentum since the month of June in light of increased cost and favorable exchange rate in different locations worldwide, particularly China. This trend has accelerated in the past few weeks with prices in China booming and European prices starting to react. In terms of sales volume, silicon metal experienced a 9.4% increase quarter-over-quarter. Next slide please. Now, moving to silicon based alloys. The average selling price increased 7.6% from the first quarter to $1,586 per metric ton, higher than at any point in Ferroglobe’s records. However, sales volumes experienced 5.9% decrease quarter-over-quarter, which is a normal swing due to delays in specific shipments at the end of each quarter. We experienced some cost pressures for Silicon based alloys due to technical issues at Bridgeport facility, and the conversion from silicon production for silicon of one furnace at Sabón. These pressures are temporary and we expect to normalize cost levels in the near future. Ferrosilicon prices remained at historically strong levels, and during the month of August, they are gaining additional traction, especially in North America. We are actively looking to feel up order books to take advantage of current doubles, and we remain positive with regard to demand strength and pricing trend for the coming quarters. Next slide. Turning now to manganese-based alloys. The average selling price for manganese-based alloys remained broadly flat from the first quarter at $1,308 per metric ton, which remains the highest level in over five years. Manganese alloys has started to face pricing pressure towards the end of Q2. Although, this was offset with lower manganese or costs from inventory. However, since the month of July, prices seem to be recovering coming back to the peaks of Q1 and particularly in the case of ferromanganese. Sales volumes were slightly up compared to the first quarter, experiencing 1.1% increase. Our plants are now running at full capacity, and we expect demand to continue to absorb all our productions. Next slide. From an operating perspective, our focus is on continuing to create value through enhanced earnings and profitability. This is the first quarter since the merger that we were able to post net profit, and have delivered a significant increase in our reported and adjusted EBITDA, as well as EBITDA margin. As we have been describing in the previous slides, EBITDA growth has been supported mainly by the increase in the price of our products, but it is also true that our commercial strategy has successfully captured the recovery of the market. And we expect it will yield additional results in the coming quarters. On costs side, we are now realizing the benefits of the synergies we captured in 2016 and early 2017. We have factored in several ways to quarter-on-quarter normalize our business platform and streamline our operating performance. We have taken decisive action to optimize our production facilities and to minimize the impact of idled facilities. We continue to streamline production plans to increase utilization rate, including the conversion of furnaces to capture market and product opportunities. From a business and operational perspective, we continue to focus on operational excellence, identifying best practices and implementing these across our footprint. And as noted earlier, we remained focused on capturing and maximizing the benefits of our diversified portfolio and business mix. Next slide please. Before I hand the call over to Joe, I’d like to quickly touch on some of the key highlights of our financial performance in the second quarter of 2017. As mentioned, our adjusted EBITDA increased 42% in the second quarter to $43.9 million, up from an adjusted EBITDA of $13.9 million in the first quarter of 2017. During the quarter, we saw $35.4 million increase in working capital. This is primarily a result of the recovery cycle. Year-to-date, working capital increased by $20.3 million. Despite this, we continued to generate positive cash flows. During the second quarter, the Company generated operating cash flow of $20.1 million and free cash flow of $5.8 million. We have continued to maintain our strong balance sheet and reported net debt of $435 million, up $28 million compared to $407 million at the end of first quarter of 2017. Liquidity stood at $320 million at the end of the quarter. We remain focused on delivering long-term value to our shareholders in number of ways and most specifically, by evaluating business decisions like M&A and CapEx, and pursuing them only if they are immediately accretive to Ferroglobe. As such, we will continue to maintain our conservative capital structure in order to put our Company in a good position to quickly on growth opportunities when they are attractive, but also providing flexibility in case of a downturn. We have successfully refinanced our debt and continued to focus on de-leveraging the balance sheet with a leverage target of less than 2 times. Lastly, we remain committed to pursuing cost improvements through technical performance, portfolio optimization and SG&A streamlining. Let me now hand over to Joe.
Joe Ragan: Thank you, Pedro. Next slide. Sales volume was [218,197] metric tons for the second quarter, up 1.6% from the first quarter. And net sales were $428.8 million, an 8% increase compared to the first quarter. Average selling price across all products was $0.79 per pound, up from $0.74 per pound in the first quarter, an increase of 6.8%. We posted a net profit of $1 million or a gain of $0.02 per share on a fully diluted basis. On an adjusted basis, our net profit attributable to the parent was $6 million or $0.05 per share on a fully diluted basis. We reported EBITDA of $36.8 million for the second quarter, up from $30.9 million in the prior quarter. On an adjusted basis, EBITDA was $43.9 million, up 42% from the first quarter of 2017. During the quarter, we continued to adhere to our strategy of realizing prices of the index, which coupled with a continued strengthening of demand and improved volumes, resulted in 10.3% EBITDA margin compared to 7.8% margin for the first quarter of 2017. Total working capital was $388 million and free cash flow was $5.8 million. Next slide. We ended the second quarter with net debt of $435 million slightly up compared to $407 million at the end of the first quarter of 2017. Next slide. On this slide, you’ll see our debt evolution overtime. On a quarterly basis, net debt was up slightly from the prior quarter and currently stands at $435 million net and $618 million gross for the second quarter. We remained committed to reducing our nominal debt balance, as well as improving our leverage on a go-forward basis. Next slide. We remain focused on carefully managing our cost structure and ensuring strict control on our operations. If you can see, we ended the second quarter with working capital of $388 million. Now, I’ll turn the call back to Pedro for some closing remarks.
Pedro Larrea: Thanks, Joe. In closing, Ferroglobe is capitalizing on its strong market position as we deliver quarter-over-quarter growth and improved profitability. We have taken decisive action to manage our cost structure, identify markets and products that were experiencing and improve demand and pricing environment, and executed our commercial strategy. And we are now experiencing sustained benefits across our key products. Additionally, our diversification strategy has positioned us to maximize exposure to improved prices and ensure a more balanced business mix. We expect prices to continue to improve for the year, and we remain focused on sustained performance across our business as we move into the second half of 2017. We are pleased with the trend of our business, but we remain committed to improving profitability in the short and medium-term to return our financial performance to where we all expected to be. With that, I’d like to open the call up for questions.
Operator: [Operator Instructions] Our first question is from Martin Englert with Jefferies. Your line is now open.
Martin Englert: Do you have an estimate of the EBITDA impact for 2Q from the furnace conversion in Spain, as well as the Bridgeport operational issues?
Pedro Larrea: I don’t have the exact number. But it is not very significant, but it could be. I really don’t have an exact number for that.
Martin Englert: And so far we see continued improvement in spot prices for silicon and alloys, but also some shifts in FX. Can you talk generally what you’re expecting as far as incremental EBITDA as we look into the second half of this year versus where we’re at in 2Q?
Joe Ragan: I can talk you about the relative impact of the pricing increases versus FX. We’re really not going to talk about the rest of the year, because I’m not sure what the foreign currency forecast will be. But I call tell you that out of the 6% that we reported, 6% to 7% reported in price increase. About a third of that was FX related. So we saw real price improvements on a normalized basis, excluding the FX. But there was some benefit about a third of it, was FX. That is total Ferroglobe.
Pedro Larrea: And in terms of the factors going forward for the rest of the year. I think, well, each one could have its own expectations in terms of price evolution, both ferrosilicon and manganese alloys are at historically high levels; although, in the past few weeks, they look to be strengthening. But one could say that prices, going forward, could remain at those levels. In the case of silicon metal, you have witnessed what the evolution is being. And the question is that in silicon metal, around 50% of our business is one way or another indexed, the rest is with fixed prices. So we will be benefiting in Q3 and Q4 of the increased silicon metal prices for about half of our volume. And in terms of volumes, going forward, I think we have mentioned that we are now -- we have stabilized our volumes. I think there could be additional volumes in silicon metal in North America as the low price imports, I would say, retreat from this market. So we could see some additional volume in silicon metal. The rest of our products, we’re running at full capacity and we’re fully booked. So I don’t think we can expect significant volume increases in the rest.
Martin Englert: And one last one here, just looking at financing expense run-rate, it was around $14 million quarterly in first half and D&A around $27 million. Are these reasonable run-rates on a go forward basis?
Pedro Larrea: We had some higher expenses on the financial expense side. There’ll be a little bit lower by about $2 million on the financial expense. D&A is about right.
Operator: Our next question is from Ian Zaffino with Oppenheimer. Your line is now open.
Ian Zaffino: First question would be, and I’ve [shot] things through this, because now you’re an international company. And if you do get these antidumping duties, I guess originally, when you were [drastic] only that would be really a win-win situation. But now, you’re international. Does that mean if you get the antidumping duties in the U.S., will the European prices go down? And if they do go down, I mean, do you have the ability to then maybe ship your products from Europe into the U.S., and avoid those empty dumping duties. I’m just trying to figure out how the entire company might get impacted with a favorable antidumping ruling, going your way? Thanks.
Pedro Larrea: That’s a very interesting question. The fact is that if we look at input volumes into Europe in this first half of the year, from Brazil for instance. They have actually already been going down. The fact is some of the, I would say, some of the importing countries are just becoming non-competitive because of factors that affect their own cost to structure. So I think what we’re seeing in this market is something we were expecting at the end of the day, which is a lot of people just losing money at the price levels we had last year. And as we were also arguing of course, they were just dumping by selling below their own cost and reasonable prices. So, the upward trend on prices is something we were expecting, and it’s just now the cost competitiveness of each player that will allow them to compete in each market. So I don’t think, and then we see what is happening now in China as well. We are, today, not -- and I don’t think that our business is threatened by additional low price imports in Europe. We don’t see that happening right now. It is also proven at the end of the day, because we have several production platforms. We will decide how much we produce in each country and where we ship it, and we will optimize, I would say, market prices and the production cost across all our platforms. But right now, again we are seeing very positive momentum, both in Europe and North America in terms of prices and we are conducting our business accordingly.
Ian Zaffino: And then I guess another question, maybe this is more for Joe. Joe, can you give us an idea of maybe what the run-rate EBITDA truly is at these price levels, because it’s a little hard to figure out, which contracts are being priced at which price, whether it’s a pretty much beginning of the year. So as you think through, what is the run rate EBITDA that you’re doing right now if all your contracts were to reset today? Thanks.
Joe Ragan: I appreciate the hard question. The current run rate EBITDA, is where we are today, will be consistent for the rest of the year. So I want to make sure that everyone understands. Although, the pricing levels have increased the indexes, industries have increased. And most of our production is contracted, some of it indexed, some of its not, some of its fixed. So our performance for the rest of the year will be slightly better than the Q2 results. But the real change in results happens in 2018. And the delta on a blended rate is probably $0.10 to $0.15 from globally.
Pedro Larrea: Across all our products…
Joe Ragan: And we know that, let's just say, on $0.10 improvements that it's $15 million for every improvement across all the products. So without any further price appreciation that would increase annually a $150 million in EBITDA conservatively at the current pricing levels.
Ian Zaffino: So turning to each of you pretty big year for you guys. I guess with that, what would you do with the cash flow? I know you used pay dividend. I’m not so sure that’s a great idea to resume it. But what is your thoughts on what you would do with that cash flow and how to deploy it?
Joe Ragan: Certainly, we talk about that a lot, Ian. And I think in the short-term, we have some debt to pay down and we’re going to bring down the leverage, as Pedro said, below 2 times. So that’s what we’ll do in the short-term. And Pedro is looking at many different options from capital allocation, on M&A opportunities, as well as whether to restart the dividend.
Pedro Larrea: And we are a company, and of course we’ve gone through a difficult year in 2016. But we are certainly a company that has an appetite for growth. And I think we have proven that we are successful at identifying opportunistic M&A transactions. And we are -- I think we have mentioned this in different calls. We are, at any point in time, we are analyzing several opportunities for growth and we are very strict in terms of the profitability of such acquisitions and making sure that they are immediately accretive. But right now, we are looking at tangible real growth opportunities of this kind, meaning really accretive value adding opportunities.
Operator: [Operator Instructions] Our next question is from Sarkis Sherbetchyan with B. Riley & Company. Your line is now open.
Sarkis Sherbetchyan: So book of the favorable demand environment allowing you to return to close to full capacity, I would think it was in North America for the most part. And you also restarted one or two furnaces in Selma. Can you maybe talk about your decision to either restart some of the furnaces and/or convert furnaces?
Pedro Larrea: Well, yes. As I was mentioning, yes. And well, in Europe, we are running all our furnaces at full capacity. In North America, after we restarted one furnace in Selma. It’s only really the second furnace in Selma that would remain idle. But if demand evolves as we expect, we will probably even restart the second furnace in the coming weeks; but again, just analyzing the demand for that. So we would be running full capacity in both in Europe and North America. And then I think the only spot where we still have some idle capacity, which is South Africa, we have basically two furnaces out of three that are still stopped in our Polokwane facility. In terms of allocating furnaces to silicon or ferrosilicon, and I think that is really the ones that sometime that we can decide whether we switch from one product to another. It is really a question of relative profitability of each product at a given point in time and also, of course, of the demand out there and our ability to capture market share in each demand. I would say that as we are running right now, we don’t expect further furnaces conversion in the coming weeks.
Sarkis Sherbetchyan: And will there be something that would cause you to reassess that decision as far as furnace conversion. It sounds like the ferrosilicon market is pretty hot right now, from a pricing perspective. So what are you seeing from a demand perspective that may cause you to either make that decision or not?
Pedro Larrea: Well, again, switching furnaces is possible. It's technically possible. It does take some time. And it’s not all with optimal from a technical point of view. I would say that we still have some idle capacity around the world in South Africa and in even one furnace in Argentina. I would say that if prices and demand keep on going up, as we are seeing right now, we would first restart those furnaces and allocate those furnaces to the right products before switching capacity that, right now, is running at full speed and with wide allocation, I would say, of products and costs. So I would say that in terms of switching, we would be looking more at the furnaces that are still stopped rather than the ones that are currently running.
Operator: And I am showing no further questions. I would now like to turn the call back to Pedro Larrea, CEO for any further remarks.
Pedro Larrea: Well, thank you everyone for joining us this morning. And as I was saying, we are pleased with the evolution of the business, but we are also committed to returning our performance to where it should be in the coming quarters. So thank you very much, everybody.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. You may all disconnect. Everyone, have a good day.